Operator: Good day, ladies and gentlemen and thank you for standing by. Welcome to the fourth quarter and year-end 2014 Harvard Bioscience earnings conference call. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Ms. Cheryl Schneider of Dian Griesel International. Please go ahead.
Cheryl Schneider: Thank you Kate and good morning everyone. Thank you for joining us today for the Harvard Bioscience fourth quarter and year-end 2014 earnings conference call. Leading the call today will be Jeffrey Duchemin, CEO and President and Robert Gagnon, Chief Financial Officer of Harvard [AUDIO GAP]
Jeff Duchemin: Kate, can you hear us? Hello.
Operator: Cheryl, your line might be muted. Ladies and gentlemen, you call will resume momentarily. Once again, ladies and gentlemen, please stand by. Your conference call will resume momentarily.
Jeff Duchemin: Kate, Cheryl? This is Jeff. We are back on.
Operator: I am able to hear you, Jeff. But Cheryl, we are unable to hear your line. Have you possibly muted on your end?
Jeff Duchemin: Actually, Kate, why don't we do this? Let's get started and I am sure Cheryl will be joining us.
Operator: Okay. In that case, sir, please go ahead.
Jeff Duchemin: Thank you, everyone. Good morning. Thank you for joining us for our fourth quarter and year-end 2014 conference call. I am pleased to be addressing you today about our strong fourth quarter and very exciting and transformational year for Harvard Bioscience. Before going to details, I want to thank our worldwide employees who were instrumental in helping us achieve our results. Our positive financial and operational results reflect the initial successes of our new growth strategy and of our world-class organization that we are building on and adding to through organic growth and acquisitions. I am proud to say that our business is on track and getting stronger, exactly as we had planned. Our strategy remains on target as we continue to leverage our growth, implement operational efficiencies and improve productivity as well as our bottom line. Our strong performance positions us well for further growth in 2015. On today's call, I will review the progress we have made in each of the four elements of our business strategy, which are first, commercial excellence and organic growth, second, new product development, third, business development and acquisitions and fourth, operational efficiencies. The first element I want to discuss is commercial excellence and organic growth. Following the realignment of our operations at the end of 2013, our reinvigorated sales and marketing teams has strongly focused on advancing our global growth initiatives. I am happy to report that our commercial teams are executing to plan resulting in return to revenue growth. As a brief overview, revenue for the fourth quarter ended strong with an 11% increase to $30.4 million on a constant currency basis compared to last year's fourth quarter. Revenue for the full-year increased approximately 2.4% to $108.7 million, excluding foreign currency compared with $105.2 million in 2013. In terms of geographic expansion, our U.S. and European sales were strong. Like many other companies, we have been impacted by the effects of foreign exchange. China, however, was softer than expected, which we believe was the result of a slower release of funds from the government as benefactors entire year has affected our industry. However, there are indications that the Asian markets will continue to be a major player in the industry. As a result, we have been gearing up for growth by completing our commercial organization in China and we are preparing to build exposure into other Asian countries, including Korea, Japan and Southeast Asia. To help prepare for our continued growth, we just announced the appointment of Ryan Atienzato our newly created position of Vice President of Sales at our Denville Scientific subsidiary. As Vice President of Sales, Ryan will also be a member of our executive leadership team, responsible for North American sales. I have worked with Ryan in the past and have every level of confidence that he will be an important contributor to our growth in North America consumable product sales, as an integral component of our revenue base. With these building blocks in place and having developed new channel relationships through the year, we are in strong position to capitalize our further growth opportunities. The second element I want to highlight is our new product development process. Over the past year, we have made it a priority to reinvigorate product development, with the goal of accelerating the path from concept to commercialization. Illustrating the success of this new approach was our successful launch of The OxyletPro System for metabolic monitoring, which was introduced in July 2014. It measures respiration and metabolism, animal activities and food intake. The product has been well accepted in Europe, Asia, Latin America and the U.S. The third element of our strategy involves business development and acquisitions. Over the past few months, we successfully completed acquisitions of three companies specializing in electrophysiology equipment, which is an approximate $100 million market and an important segment in academic research and drug discovery. Our first acquisition, Multi Channel Systems, develops, manufactures and markets instrumentation for extracellular recording and stimulation. Our second acquisition, Triangle BioSystems, develops, manufactures and markets wireless neural interface equipment to aid in vivo neuroscience research. Our third acquisition, HEKA Electronik, which we acquired in January 2015, specializes in patch clamp amplifier instrumentation for biomedical research applications. Combined, these three companies complement our existing electrophysiology product line offered through our Warner Instruments subsidiary. As a result, we now offer the most comprehensive set of solutions for electrophysiology customers. MCS and Triangle have already started to produce positive results for us, adding to our topline. We do not intend to stop here. Acquisitions will continue to be an integral part of our growth strategy. Our acquisition pipeline is full and we will continue to strategically approach business development opportunities that align with our business strategy and core competencies. The fourth and final element of our strategy involves operational efficiencies. In March 2014, we appointed Ron Aplin as our Vice President Global Operations and Quality. Immediately, Ron began to implement changes such as site consolidation, ISO certification for previously non-certified facilities and cost reduction programs, which have allowed us to streamline our operations. In Q4, we completed the buildout of our new distribution center in Charlotte, North Carolina. Denville Scientific will now have a new state-of-the-art distribution center which allows us to fulfill orders much more efficiently. We are also in the process of consolidating the U.K. manufacturing facility of our Biochrom subsidiary into our facility in Holliston, Massachusetts. So to recap, the business strategy we put in place just about a year ago, when we realigned our operations created organizational efficiencies, cost reduction initiatives, talent acquisition and geographic expansion is working well. As I mentioned, for the fourth quarter, our revenues increased 11% excluding foreign currency to $30.4 million. In addition, non-GAAP earnings per diluted share increased 100% to $0.10 per diluted share. For the full-year, revenue increased 3.3% to $108.7 million and income from continuing operations, on a non-GAAP basis, increased 26% to $8.9 million and on a per-share basis, it increased 21% to $0.27 per diluted share. These increases, which are on target with our expectations, show that we are achieving our goal to stabilize revenues after many quarters of declines. Our bookings remain strong for the quarter at $30.4 million and our backlog increased more than 41% over the last year's fourth quarter to $7.2 million. We are executing in all four areas of our strategy, as I outlined a moment ago. Our three acquisitions have made Harvard Bioscience a global player in the field of electrophysiology. We revamped our new product development process and focus solely on our core Harvard Bioscience products without the distraction in our previous Harvard Apparatus regenerative technology business presented to the company. We have a new and dedicated team in place. We stabilized our declining businesses, a significant turnaround from 2013's drop of 5.4%. Since December 2013, we have realized cost savings of $2 million pretax after investment. We expanded our commercial presence in China and elsewhere in Asia and revamped our new product development process to focus on our core products. To sum up, we had an excellent quarter and year. I once again would like to thank all of our talented employees for their incredible hard work and dedication, which makes our continued success possible. This year, we will continue to execute on our four pillared strategy and I look forward to additional success. The future truly looks bright for Harvard Bioscience. At this point, I will turn the discussion over to Rob Gagnon, our CFO, who will provide more insight into our financials. Rob?
Rob Gagnon: Thank you Jeff and good morning everyone. I just want to begin and state that the remarks we make today, they may constitute forward-looking statements. The company's actual results and performance may differ materially from what has been projected, due to risks and uncertainties, including those detailed in our Annual Report on Form 10-K for the period ended December 31, 2013 and our other public filings. Any forward-looking statements, including those related to the company's future results and activities represent estimates as of today and should not be relied upon as representing estimates of any subsequent day. So consistent with previous quarters, much of my focus will be on non-GAAP quarterly results, which we believe better represent the ongoing economics of the business, reflects how we set and measure our incentive compensation plans and how we manage the business internally. However, I will briefly review the GAAP results, the differences of which are outlined in the press release we issued today, which can be found on our website under Press Releases. Our results for Q4 and full-year 2014 will also reflect the results of our two recent acquisitions, Triangle BioSystems and Multi Channel Systems, both of which were completed on October 1, 2014. As a reminder, HEKA Electronik is not reflected in these results as that business was acquired in early January 2015. Additionally, any material financial or other statistical information presented on the call which is not included in our press release will be archived and available in the Investor Relations section of our website and a replay of this call will also be our archived at the same location on our website at www.harvardbioscience.com. Now beginning with the topline. Revenues in the fourth quarter increased 11% to $30.4 million on a constant currency basis, compared with revenues of $27.9 million in the fourth quarter of last year. For the full-year 2014, revenues increased 2.4% to $108.7 million on a constant currency basis, compared with revenues of $105.2 million in 2013. Bookings increased approximately 9% to $30.4 million in Q4, also on a constant currency basis, compared with bookings of $28.5 million in the fourth quarter of last year. For the full-year 2014, bookings increased 3.1% on a constant currency basis to $109.9 million compared with bookings of $105.6 million in 2013. And we finished Q4 with backlog of approximately $7.2 million, up more than 41% compared to backlog of $5.1 million at the end of Q4 last year. Now turning to costs and expenses. Cost of revenues in Q4 were $16.2 million, an increase of approximately $400,000 compared to $15.8 million in Q4 of last year. For full-year 2014, cost of revenues were $58.9 million, an increase of approximately $1.6 million, compared to $57.3 million in 2013. Gross profit margin in Q4 was 46.7%, an increase of 330 basis points compared to 43.4% in Q4 last year. And for the full-year 2014, gross profit margin was 45.8%, an increase of 300 basis points compared to 45.5% in 2013. Our operating expenses for Q4 were $9.5 million, an increase of $100,000 compared to $9.4 million in Q4 of last year. And for the full-year 2014, operating expenses were $36.5 million, a decrease of over $400,000 compared to $36.9 million in 2013. Included in operating expenses are the cost of the newly acquired companies in the fourth quarter, partially offset by a gain of $760,000 for the sale of our Edenbridge, England manufacturing facility, which was completed this quarter. Also included in operating expenses in 2014 were expenses related to a companywide incentive bonus program, based on the achievement of certain performance metrics, which did not exist in previous years. Operating income in Q4 increased $4.7 million, an increase of approximately $2 million as compared to $2.7 million in Q4 of last year. For full-year 2014, operating income increased to $13.3 million, an increase of approximately $2.4 million as compared to $10.9 million in 2013. Our operating margin in Q4 was 15.5% on a non-GAAP basis, an increase of 580 basis points compared to 9.7% in Q4 of last year. For the full-year 2014, operating margin was 12.2% on a non-GAAP basis, an increase of 180 basis points compared with 10.4% in 2013. Excluding the impact of the Edenbridge gain, our operating margin would have been 13% and 11.5% for the fourth quarter and full-year, respectively. Our non-GAAP effective tax rate was 25.3% in Q4, a decrease of 270 basis points compared to 28% in Q4 of last year. The main driver of the decrease was related to the extension of the U.S. R&D tax credit in December for all of 2014, as well as overall geographic mix of income. For full-year 2014, our non-GAAP effective tax rate was 27.1% a decrease of 100 basis points compared to 28.1% in 2013. The decrease in the full-year tax rate is primarily due to the geographic mix of income. We continue to forecast our effective tax rate in the range of 28% to 30% On a GAAP basis, our net loss was $19,000 in Q4, compared with $760,000 net loss in Q4 of last year. For full-year 2014, net income on a GAAP basis was $2.4 million compared with a $1.8 million net loss in 2013. Our GAAP loss from continuing operations was also $19,000 in Q4 or zero per diluted share compared with the $260,000 net loss or $0.01 per diluted share for Q4 last year. For full-year 2014, our GAAP income from continuing operations was also $2.4 million or $0.07 per diluted share compared with $720,000 or $0.02 per diluted share for 2013 last year. Our non-GAAP income from continuing operations for Q4 was $3.3 million or $0.10 per diluted share, an increase of $0.05 per diluted share or 100% compared with $0.05 per diluted share in Q4 of last year. And for full-year 2014, our non-GAAP income from continuing operations was $8.9 million or $0.27 per diluted share, an increase of $0.05 per diluted share or 21% compared with $0.22 per diluted share in 2013. Weighted average shares outstanding was $32.4 million in Q4 compared to $31.1 million in Q4 last year. The higher shares are primarily the result of the additional equity awards issued at the time of the Hart spin-off. Now turning to the balance sheet. We finished Q4 with approximately $14.1 million of cash and equivalents, a decrease of approximately $11.7 million compared to $25.8 million from Q4 last year. The decrease is primarily due to the acquisitions of Multi Channel Systems and the completion of the business restructuring that we announced back in December 2013, partially offset by cash flow generated by the business. Accounts receivable as of Q4 were $16.1 million compared to $13.9 million as of Q4 last year. DSO, or day sales outstanding, was 49 days at the end of Q4 compared to 47 days as of Q4 last year. The accounts receivable associated with the acquisition of Multi Channel Systems and Triangle BioSystems is the primary reason for the increase in receivables year-over-year. Inventory at the end of Q4 was $20.5 million compared to $15.8 million at the end of last year. Inventory turns were 3.4 times compared to 3.7 times in Q4 last year. In addition to the inventory associated with the acquisitions of Multi Channel Systems and Triangle BioSystems, the increase in inventory is also due to the temporary inventory requirements necessary to relocate our Denville Scientific business from New Jersey to North Carolina and the consolidation of our U.K. manufacturing operation with our Holliston, Massachusetts facility and more on both of these topics in the moment. Capital expenditures were $2 million for the 12-months ended December 31, 2014 compared to $1.6 million in 2013. The increase in capital expenditures this year is due to investments in our infrastructure and ERP system as well as buildouts related to the consolidation of our U.K. manufacturing facility with our Holliston, Massachusetts facility. Debt at the end of Q4 was $21.5 million compared to $24.8 million as of December 31, 2013. The decrease was due to scheduled principle payments made during the year offset by an increase in borrowings at the end of the third quarter to fund the previously announced acquisition of Triangle BioSystems, as well as normal working capital needs to accommodate site moves. I will now turn to annual guidance. The guidance includes the expected negative impact of currency translation due to the strengthening of the U.S. dollar, expected costs of relocation and consolidation of certain facilities and contributions from recent acquisitions. We expect revenues to be approximately $114 million to $116 million. Included in this guidance is our expectation that currency translation will lower revenues by between $6 million and $7 million, based on current foreign currency exchange rates. On a constant currency basis, we expect revenues to be approximately $120 million to $123 million or a 10% to 13% increase compared to 2014 revenues. The increase is driven primarily by the three acquisitions and to a lesser extent organic growth. We expect to report full-year 2015 non-GAAP earnings per share of $0.27 to $0.28, based upon forecasted weighted shares outstanding of 34.5 million. This translates to GAAP diluted earnings per share of approximately $0.16 to $0.17. Included in this guidance is our expectation that currency translation will lower non-GAAP EPS by approximately $0.02 per diluted share. On a constant currency basis, we expect non-GAAP EPS to be approximately $0.29 tot $0.30 per diluted share, or 7% to 11% increase compared to 2014 non-GAAP EPS. In addition to the recent acquisitions, also reflected in this guidance are approximately $750,000 to $1 million in costs we expect to incur in 2015 to relocate our Denville Scientific business from New Jersey to North Carolina and to consolidate our U.K. manufacturing operation with our Holliston, Massachusetts facility. The U.K. manufacturing operation is our second-largest manufacturing site within Harvard Bioscience. These changes, represent a major step forward in our plans to optimize our manufacturing footprint and reduce the number of sites. We will begin to realize annual savings of approximately $750,000 to $1 million for these moves in 2016. As mentioned on pass calls, the differences between our GAAP and non-GAAP financial guidance, including EPS and reconciliations are outlined in the earnings release we issued today, which can be found on our website under press releases. Kate, we will now open the line for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Paul Knight with Janney Capital Markets. Your line is open.
Paul Knight: Hi, Jeff. The FX hit on 4Q EPS, did you guide on that or indicated on that?
Jeff Duchemin: I am going to let Rob answer this, Paul. Hold on one second.
Rob Gagnon: Yes. Paul, we did not guide on the FX impact to EPS for 4Q. It actually wasn't as significant as the impact that we expect in 2015 because the weakening or the strengthening of U.S. dollar has large largely occurred right at the end of the year and into January.
Paul Knight: And then, Jeff on your quote where you say you completed your China commercial initiatives, what you mean by that statement?
Jeff Duchemin: We had put in, in the beginning of the year, the goal of filling five positions in China, five commercial positions in China. We have a full team in place today.
Paul Knight: And how many more positions would you want to add in the rest of Asia now?
Jeff Duchemin: Well, I think I stated, we are looking outside of China in 2015. We are now going to spend some time in Korea, Japan and Southeast Asia. We are currently there. We currently have business there. But we are putting a little bit more focus. We haven't guided to adding headcount in those areas at this point in time, but it is a focus for us in 2015.
Paul Knight: And Jeff on the macro, can you talk to what you are seeing on the academic side? And then second on the biopharma side of the market for you?
Jeff Duchemin: Yes. The academic market, we believe will drive 1% to 3% growth in 2015. As we have stated many times, about 70% of our business is in the academic space. But the way we look at our business and the way we look at growth for 2015 is off of the execution of our strategy and not relying on the budgeting process of the NIH. We believe any upside in growth coming from the NIH budget will just add to topline performance for us in 2015. On the bio side and pharma side. I think you are seeing strength, global strength, coming from those areas and what we would like to do is, diversify our portfolio in the future to be a little bit better balanced in academia, biotech and pharma moving forward. So, as we develop new products, as we look at business acquisitions, we also have in mind, a better balance to our market approach.
Paul Knight: And then last, Multi Channel, Triangle and HEKA. What do you think that's added to your organic growth rate?
Rob Gagnon: Well, Paul, the 11% that we experienced in 4Q, I think the way to think about that is, 8% to 9% of that would be contributions from acquisitions and approximately 2% to 3% would be organic. That gets you to 11%. FX was a negative headwind of about 2%. But I think in terms of the guidance we gave at the time of the acquisitions, I still think we feel good about that guidance and that's where we are thinking about it for 2015.
Paul Knight: I guess my question was really, what you think the growth rates are of those three combined firms together?
Jeff Duchemin: Well, I think you have look at the segment of the market. Electrophysiology is about $100 million market. We believe we will see or the market will see high single digit growth coming from that market. We would expect similar type growth coming from those three acquisitions moving forward. One of things that we are doing though is we are blending these products into other product families within Harvard Bioscience. So they not going to be standalone or it will not be a standalone product family. Electrophysiology will be blended and it will actually cross over into multiple product families that we have today, such as our cell analysis business and our animal physiology business.
Paul Knight: Okay. Thank you.
Jeff Duchemin: Thanks, Paul.
Operator: Our next question comes from the line of Ray Myers with Alere Financial Partners. Your line is open.
Ray Myers: Thank you for taking the questions. Can you hear me?
Rob Gagnon: Yes, Ray.
Jeff Duchemin: Hi Ray.
Ray Myers: Great. Hi. First of all, I want to touch on the gross margin trends. So, Jeff, what gross margin trends are you expecting going into next year, in light of the restructuring that conducted during 2014 and some of the changes that you are planning this year?
Jeff Duchemin: Yes. So I am going to let Rob jump in. I would just give my overview real quick, Ray. Gross margins, I think will continue to improve and the will improve for multiple reasons. Once again, as we execute our strategy, as we become more efficient, as we look at expanding products on a global basis, we would expect to see improvement in gross margin.
Rob Gagnon: Yes. And Ray, it's Rob. Just to add to that, like we have discussed, 2015 is going to be a year of investment for us as we relocate and consolidate two large facilities. And so the impact on margins year-on-year, I think what we experienced in 2014 is probably a good expectations for 2015. It would really be 2016 where we would start to reap the benefits of those investments and those moves.
Ray Myers: Okay. Good. Understood. So the two facilities, would that be Denville and the Biochrom that are being shifted? Is the correct?
Jeff Duchemin: That's correct.
Ray Myers: Okay. So the Biochrom was the source of the $760,000 gain from the sale of manufacturing facility. Is that right?
Rob Gagnon: No. Actually so we had, when we started the year, we had two manufacturing operations in the U.K. So our first consolidation was to combine both of those facilities which would be really the first step in bringing one facility back to the U.S. So that that was a separate operation.
Ray Myers: Okay. So you made a gain previously on another facility and Biochrom is the second one. Are there similar types of potential gains from selling either equipment or facilities, real estate, either from Biochrom or from others that you only want one?
Rob Gagnon: Certainly. The $760,000 gain was significant in the fourth quarter. It probably exceeded our expectations of what we thought we would receive for that building. But we tend to lease our facilities. And so as we look at optimizing our footprint, in terms of monetizing assets, I wouldn't expect a lot of facilities to be sold. There may be opportunities to rationalize equipment and we could realize some gain or losses down the road on operating assets. But this one was a little bit larger than usual.
Ray Myers: Okay. That makes sense. The recent currency exchange fluctuation has been pretty dramatic and we do see that Harvard has facilities all over the world. Does that open opportunities to shift production to lower-cost regions to take advantage of global currency changes?
Rob Gagnon: Well, Ray, we are looking at that relative to our strategic plans around optimizing the footprint. So that is a key component of those considerations, but today the impact that you see, the impact that we expect on 2015 revenues, that $6 million to $7 million that I spoke about, that impact on the bottomline is far less. It's closer to, say, $1 million because largely we are manufacturing in these countries and the decrease in cost and expenses from translation offsets the decrease in revenue. So the impact is actually muted and that's only a couple of pennies of EPS. But it is a factor of consideration that we look at when we think about our plans for facility consolidations.
Ray Myers: That makes sense. And finally are there plans to drive operating efficiency in 2015 and beyond, in addition to the ERP system that you are launching this year? Are there other initiatives that might be enacted to further increase efficiency?
Jeff Duchemin: Hi, Ray. This is Jeff. I think the answer to that, we are going to be consistent with our current strategy and under the operational efficiency code of that strategy, we will continue to look to right size our global footprint. We will continue to integrate acquisitions as they are made and ERP is a multiphase strategy that will continue in 2015.
Ray Myers: Okay. Thank you. I will get back into queue.
Jeff Duchemin: Thanks a lot, Ray.
Operator: Our next question comes from the line of Andrew Fleming with Heartland. Your line is open.
Andrew Fleming: Good morning, Rob.
Rob Gagnon: Good morning.
Andrew Fleming: I just had a question. Nice pickup in the organic growth this quarter. Can you just explain what happened there? Is that just the market improving? Or is that company initiatives come into fruition?
Jeff Duchemin: Yes. I will start. This is Jeff. I think, you know, as part of our strategy this past year, we have put a lot of emphasis on our commercial organizations, our global commercial organizations. I think you are starting to see the results of that. You have seen our backlog increase all year long. But on the top of that, there were acquisitions made and there was a positive -- there has been positive results due to those acquisitions in Q4. But overall, we have built a very strong sales and marketing team on a global basis, which is aligned, which is something different from the past and we are heading in the right direction.
Andrew Fleming: Okay and then, Jeff or Rob, maybe if you could just comment on the incremental margins that's inherent in this business model? And I understand we are not going to reap the benefits of the facility consolidations until 2016, but just if we think about 2016, what does an incremental $10 million revenue generate in terms of gross profit or operating profit?
Rob Gagnon: Well, inherent in our guidance, you can actually pull apart the pieces from the acquisition and what's inherent in it is growth, sort of the low to mid single digits. And clearly, a large piece of that would -- or a component of that would fall to the bottomline after you back out and assume fixed cost and people cost. We haven't stated publicly what that exact amount is, but I think in terms of planning, if you think of 1% to 3% organic growth and then a variable component through cost of sales and the sales commission, you could get a pretty good estimate.
Andrew Fleming: Okay and then as we go out maybe two or three years, is 50% gross profit margins achievable?
Rob Gagnon: Yes. So we, to Jeff's point, we are going to continue to integrate acquisitions and look at optimizing our footprint and we will reap the benefits of that longer-term, but I wouldn't want to commit to you today that that results in a particular gross margin.
Andrew Fleming: I am more just curious, is that in the realm of possibility or is that --?
Rob Gagnon: I think we will see.
Andrew Fleming: Okay. Then in terms of the balance sheet, where do you guys expect to end the year, assuming no further M&A activities, in terms of your net debt position?
Rob Gagnon: The scheduled payments annually are about $5 million in principal. So we finished the year with about $21 million of debt. So we would make $5 million of payments on that.
Andrew Fleming: And the cash generated from the business?
Rob Gagnon: So we finished the year with roughly $14 million of cash. We announced the acquisition of HEKA, which was purchased with cash. So in terms of a pro forma, you are sort of in the $7 million to $8 million of cash and then in terms how we think about that balance growing, you look at the overall profitability and cash flow generation of the business and back off those $5 million of scheduled debt payments.
Andrew Fleming: Okay. Thanks.
Rob Gagnon: Thank you.
Operator: Our next question comes from the line of Bryan Kipp with Janney Capital Market. Your line is open.
Bryan Kipp: Hi, guys. A couple of quick follow-ups. I guess I am sitting here looking at the acquisition contribution. It's a little bit stronger than I expected and I guess color around your expectations. I believe those closed in October. So it was only two months of contribution. Yet I estimate it a little bit north of $2 million of acquisition contributions. So how is that outpacing in regards to where you guys had it and any color in addition would be helpful?
Rob Gagnon: Yes. Bryan, it's Rob. I am going to start and then I will let Jeff add some color. But the acquisition contribution, it was actually three months. So we closed on those acquisitions, October 1. So we had the benefits of their financial performance for the entire Q4. In terms of topline performance, I think they performed in line with our expectations at the time we had acquired those two businesses. The midpoint of the guidance we gave was about $8 million. So if you take again a quarter of that, that's a pretty good estimate and in line with how they performed. And in terms of the bottomline, I think they are in line with what we had expected for the fourth quarter. Clearly, any time you go through the sale or an acquisition of a business, it's extremely disruptive and we have to get them up and ready for SEC reporting on our close schedule and inventory systems. But I think overall it was in line with our expectations. I wouldn't say it was below. I wouldn't say with ahead.
Jeff Duchemin: Bryan, just to add, this is Jeff. I think Rob stated it well. But to look beyond 2014 into 2015, these acquisitions bring very exciting technology. There is significant room for growth. Our sales and marketing teams are heavily involved in growing these product lines today and will continue in the future.
Bryan Kipp: Rob, are you willing to tease out what the banking fee contribution was to Op expenses in the quarter. Just trying to think of a fully adjusted non-GAAP thinking on a core basis?
Rob Gagnon: Yes. Sure. And just to be clear on that, the banking fee for the acquisition of Multi Channel Systems. There was no banking fee for Triangle BioSystems. But the banking fee for Multi Channel Systems has been reported in our other expenses category and it has been backed out of the non-GAAP results and that amount was in the $400,000 to $500,000 range.
Bryan Kipp: Okay, helpful. And then I guess, a new hire. What was the reason for it? What's the view, direction? What does he bring to the table? As well I was surprised to hear, I think a year ago you guys had mentioned much maybe leveraging Denville and using some other brands, ex-U.S., especially on the lab consumables and supply side? And it seemed like today the focus was on leveraging Denville, primarily in the U.S. So any comments around that and direction in light of hire?
Jeff Duchemin: Bryan, I will start with the reason or the purpose for the hire. Our business is growing. We acquired three companies recently in the instrumentation equipment side of our business. Our business is becoming very complex. If you look at Harvard Bioscience, youth you have Denville, which is our distribution arm and you have everything else that is instrumentation and equipment. For us to grow Denville, which is a big part of our strategy, we felt it was necessary to have a dedicated commercial leader leading that business. Yoav Sibony, who oversees all of our instrumentation and equipment business on a global basis, he has done a tremendous job this year, but his job is one of the most complex jobs among our executive leaders. So what we have done is, we separated that. So now have a dedicated leader for Denville Scientific and we have a dedicated sales leader for all instrumentation and equipment. That was the idea around that. What does he bring to the table? He bring significant sales leadership, an understanding of taking businesses that need an emphasis in terms of transformation, need an emphasis of a growth vision and strategy and he is someone that I have worked with in the past and have 100% confidence that he is going to come in and help drive to grow this business, not only here in the U.S. but as we build a strategy to possibly look at building distribution outside of North America, Ryan will play an instrumental role in that.
Bryan Kipp: Thank you. And then I guess your thoughts on free cash? I mean in light of the comments, M&A continues to be a focus, it continues to be a pillar. There's a lot of moving parts, lots of facility consolidations, inventory builds, et cetera. But how are you looking at free cash and how should we look at it going forward so that you can leverage for your M&A pipeline?
Rob Gagnon: Bryan, it's Rob. And we haven't given guidance on free cash in the past. But I would just tell you, with the addition of the acquisitions, with the investments that we are making around the consolidations, I wouldn't see the profile of the business changing dramatically in 2015. I think it's really 2016, we start to reap the benefits of a lot of these changes.
Bryan Kipp: Is there a view in your mind that you can get to plus the 100% conversion on that income? Or is it something that will continue to hover at that 100% to sub-100% range?
Rob Gagnon: I don't think we are prepared to give you that today, Bryan. But it's something that we continue to monitor and will think about it going forward.
Bryan Kipp: Okay and the last one I had was just capacity on M&A. I think I heard you guys that $20 million to $30 million next year, $15 million capacities. Is that where you guys think? Or is there is other opportunities? Or is it less than that?
Rob Gagnon: No. I mean it's like what we have talked about before. Outside of the U.S. is where we have a lot of our cash. We are leveraged in the U.S. with debt. And so our ability to continue to lever is subject to the ability to generate cash flow to service that debt. But your amounts, I would say they are in a reasonable range and that's probably how we think about it, absent looking at sort of other alternative financings, which are just we are not considering at this point.
Bryan Kipp: All right. I appreciate, guys.
Jeff Duchemin: Thanks, Bryan.
Operator: Our next question comes from the line of [indiscernible]. Your line is open.
Unidentified Analyst: Good morning.
Jeff Duchemin: Good morning.
Unidentified Analyst: I had a couple of questions. First question is, Jeff you made it clear that, in past meetings and on calls, clearly that this business can and should be operating at higher and more efficient levels. So as you look out, I calculated your adjusted operating margin for the full-year 2014, it was around 11.4%. Is it unrealistic to assume that you can get to the mid-teens level over time?
Jeff Duchemin: Well, I don't think we are going to indicate exactly where we think we can get it. But I will elaborate a little bit on our strategy moving forward. So if you look at the four elements of our strategy, we will start with organic growth. We are going to continue to geographically expand our commercial organizations and I will give you one example. Latin America, which is probably one of the top four or five growth markets for research today, is a market that Harvard Bioscience has spent very little time focused on. We have recently hired a channel manager for Latin America. We have recently hired the Vice President of Sales for Denville Scientific. So we are going to continue to grow from an organic standpoint. That will remain a top priority for us moving forward. New product development. As we launch new products, there will be significant growth coming from the launch of new products, whether it's a new product or it's a product line extension. If you go into business development and acquisitions, I think as we acquire companies, they will be accretive and they will help generate both topline performance for Harvard Bioscience along profitability for the company. And operational efficiencies, Beth I think will really impact, if we can take that 11.4% to 15% by the way we optimize our global footprint and we continue to create operational efficiencies. So is it out of reach? I don't think it is. But I don't think we are prepared to comment on that exactly how long it will take for us to get there.
Unidentified Analyst: Okay. But if you look at your peer group, they are a lot higher than where you are today. So?
Jeff Duchemin: Absolutely. But if you look at our peer groups, probably been a little bit well organized, they are better organized than Harvard Bioscience has been in past. We were a business that was, I believe, had close to 26 acquisitions over the last 15 to 17 years. These acquisitions were never integrated, never aligned and so that's what we have been doing over the last year 12 to 15 months, is basically aligning these businesses, aligning product families, aligning sales and marketing organization and creating operational efficiencies better, so that we can be aligned with our peer companies in that 15% plus range.
Unidentified Analyst: Yes. Okay. and I don't know if you gave this number, but what percent of your revenues are considered to be consumables?
Jeff Duchemin: About 30% of our overall revenue.
Unidentified Analyst: Okay. Great. And then the last question is more of housekeeping. What was your depreciation and amortization for the full-year?
Rob Gagnon: Beth, I will get that for you in a moment.
Unidentified Analyst: Okay. Thanks.
Rob Gagnon: It can take a couple of seconds to pull that up. The amortization was $0.08 per share in 2014. And our depreciation runs at a little more than $1 million, roughly, a year.
Unidentified Analyst: Okay.
Rob Gagnon: When we file our 10-K, in the next five to seven business days, we will have the exact numbers for you.
Unidentified Analyst: All right. So your amortization is about $2.7 million and your depreciation is about $1 million. So it's a total about $3.7 million.
Rob Gagnon: Yes. Actually, amortization is $2.6 million.
Unidentified Analyst: Got it. Okay. Perfect. Great. That's all I have. Thank you.
Rob Gagnon: Thanks, Beth.
Operator: [Operator Instructions]. Our next question comes from the line of Jack Wallace with Sidoti & Company. Your line is open.
Jack Wallace: Thanks for taking my questions, guys.
Rob Gagnon: Hi, Jack.
Jeff Duchemin: Hi, Jack.
Jack Wallace: Hi there. Some of my other questions were answered. But can you just talk a little about how you are thinking about some of your leadership below the two of you guys. It sounds like we have got a new head over at Denville, head of sales there, new head of Latin American sales. Are we going to see as the business continues to evolve, additional leadership hires there to go after other, whether it's geographic areas or maybe a consolidated business families?
Jeff Duchemin: Well, I think we have touched on the new hire for Denville and I have elaborated over the last year the other executive leaders, functional leaders in the business. Our head of strategic marketing and business development, our head of, obviously, sales for the instrumentation side of the business, we talked about earlier and our head of operations. There is another position that we haven't talked about today, but it's the head of IT. We brought in a very talented IT leader, who is leading the ERP integration for Harvard Bioscience. That's a position that's very important today and will be for the future growth of the business. But as we look out, I would say over the next 12 months, I think our management team is in very good shape. And I think the focus now is on the middle level management of the organization. We have some very, very talented people. We are providing additional responsibility for them. We want to see them grow and continue to help maintain the business along with grow the business in the future as we acquire companies. So that's where we are today, Jack.
Jack Wallace: Thank you and my apologies if this is, I am asking a repeat. My line was blank earlier in the call. But have we seen any pickup in China, call it year-over-year or even sequentially, anything that suggests that the spigot is starting to turn back on?
Jeff Duchemin: I think what we are seeing right now is what we are hearing that things will continue to improve in China. I think, personally market conditions will probably remain the same in China in 2015, especially Q1 and Q2, but as the year progresses, I believe will see growth coming from China.
Jack Wallace: Got you. Thank you. That's helpful. And then lastly and then I will take the rest of my questions offline. Do you have any timing on the restructuring charges for the facilities realignment might have? Is that first or a second quarter event?
Rob Gagnon: Jack, it's Rob. So starting to sanction for them now in the fourth quarter, but that will largely be through, say, the first three quarters of 2015.
Jack Wallace: Got it. Thank you, Rob. Thanks, Jeff.
Jeff Duchemin: Thanks, Jack.
Operator: [Operator Instructions]. I am not showing any further questions at this time. I would like to turn the call back over to management for closing remarks.
Jeff Duchemin: Thank you very much, everyone, for calling in, taking the time to listen to our year-end call. I just want to think the employees of Harvard Bioscience one last time. It was a tremendous year for us. We have great growth opportunities moving forward. It's been a phenomenal experience on the transformation of this business. So thank you, everyone. Have a great day and we will talk to you soon.